Martin Fischer: Good morning, ladies and gentlemen, and welcome to our 2025 half year results call. I'm presenting this morning together with our CFO, Olivier Durand. I'll start by sharing our H1 highlights. Then Olivier will walk you through the financial results. And in the end, I'll wrap up with our outlook for the rest of the year. So starting with our H1 highlights, I will present them as 3 distinct chapters that match the 3 pillars of our strategy: performance, transformation and culture. I'm very pleased, in fact, to report that we have made solid progress on all 3 of these priorities that we set out earlier this year. First, our drive for best-in-class performance is reflected in increased operating margin and stronger cash flow. Second, our business transformation has gained further momentum, both in terms of portfolio review and disposal execution. And third, when it comes to invigorating our culture, we are reorganizing and simplifying our operating model. This will support a more agile and efficient organization. These 3 priorities are being emphasized by 2 key management changes. Olivier Lefebvre has been appointed to Group COO with a clear objective to drive performance. And Carla Gohin has been recruited as Group Strategy Officer, also in charge of technology and innovation. She will drive the business transformation of the group. Both of them work closely with me and the Executive Committee to shape FORVIA's value creation. Let's move to the results. As you can see in the summary chart, in H1, we have delivered a series of solid financial metrics. All of them confirm the trajectory of our full year guidance. We managed an organic sales growth of 1.1%, whereas product sales, in fact, grew by 2.9%. Strict cost control, effective tariff mitigation and the impact of our EU-FORWARD program supported the operating margin, which grew by 20 basis points to 5.4%. Our net cash flow increased significantly and is of higher quality than before. EUR 418 million are mainly driven by stronger EBITDA as well as CapEx reduction and lower capitalized research and development costs. We were able to reduce our net debt by almost EUR 200 million. Together with the increased EBITDA, our leverage ratio came down to 1.8x. This performance really reflects the dedication and the hard work of our team. They are all so committed, has been essential -- has been so essential for us to drive these results in H1. We are ready to keep moving forward while continuing strict cost and cash management. We will improve industrial efficiency and fix our underperforming plants. Now let's turn our attention to the H1 growth story. I'll begin with China, the largest and fastest-growing market, which is FORVIA's first country for sales. We hold strong positions in China, thanks to our footprint, our innovation and an extremely strong team driving our local-for-local developments. We have significant manufacturing presence in China, and this is further strengthened now by 2 new plants that reinforce our positioning with Chinese automakers. We have launched a new plant for BYD in our Seating business. And we now have a manufacturing setup next to each BYD factory in China. With Chery, we have also commissioned a new plant. On the supply side, to increase our competitiveness and innovation, we have founded a local JV with Farwon in Seating. Our local-for-local technologies were also recognized with more than 10 new business awards, and customer-facing innovations such as zen massage, zero-gravity seats and kinematic displays open new revenue pools, both in China and beyond. More broadly, we achieved strong commercial success in China during the first half of the year. 30% of our global order intake comes from China, 2/3 of which was with Chinese automakers. More specifically, we have secured significant contracts with BYD, Chery and another electric vehicle manufacturer. So industrial excellence and innovation continue to drive our success in China. This brings me to my final slide on H1 performance. This is order intake. FORVIA booked EUR 14 billion of new orders across our different products and regions. Some new programs and their tenders were delayed due to the business impact our customers experienced from tariffs. This was particularly obvious in North America. On the other hand, we can benefit from extended life cycles of existing models without having to invest in new developments. Lastly, upfront costs are steadily decreasing on new contracts that we signed. Looking a bit deeper at the composition of our order intake shows that Asia and Electronics are the key growth drivers for the group. Asia accounts for 36% of our order intake compared to 25% of FORVIA sales in the first half of the year. Beyond the very positive acquisitions in China, we have also secured strategically important businesses in India and in Korea. We gained first-time access to specific markets with 2 Japanese and 1 Chinese customer. The Electronics business also recorded strong commercial success, representing 34% of our order intake. Business of high strategic relevance for Electronics was in the fields of zone controllers. Here, we obtained several orders for 2 European premium manufacturers for a total amount of over EUR 1 billion. We were also successful in battery management systems for a U.S. customer. And last not least, we secured several radar applications in Europe. Now still staying on our first priority, performance, I would like to introduce a new initiative, Project Simplify. We constantly need to work on our cost base to remain competitive. Following the EU-FORWARD program, which aims to restore industrial performance in Europe, we are launching a new global plan. It is designed to generate additional savings on SG&A and indirect costs. Here, we activate a number of levers in this regard. Looking at our organizational structure, we are going to reduce the number of layers. Non-value-add activities are being dropped, and we are going to work on lean and automated processes. The rollout of the program has started, and we expect EUR 110 million in annual cost savings by 2028, with cumulative restructuring costs of EUR 150 million between 2025 and 2028. Let me now turn to an update on the second pillar of our 3 priorities, transformation. Our business transformation efforts are in full motion. Our goal is to forge a future portfolio that comprises businesses in which FORVIA covers a true leadership position in the whole world market. This portfolio will be focused on what we do best, especially the core technologies where we are the strongest. This is where we can create the best long-term value. We have been performing a portfolio review of all our 6 business groups and 24 product lines to identify higher synergies, for example, in the Electronics area, to simplify the scope and to dispose of certain activities. As a result, an increasing number of assets may qualify for disposals. Furthermore, I want to confirm that we are progressing well with the process of sizable disposals. One product line requires special comments this time. These are our hydrogen solutions. You have certainly noticed that Stellantis is discontinuing its activities, and Olivier will detail, in the financial section, the provision made on SYMBIO due to the Stellantis decision. Nevertheless, we continue to believe in the strategic role of hydrogen in decarbonizing mobility, albeit with a clear market delay. Therefore, we are taking this reality into account. We are slowing down our own hydrogen investments also on the tank side, and we are limiting cash consumption. In conclusion, we have a multitude of actions underway to support our top priority, which is deleveraging the group. Let's now turn to our third strategic priority, invigorating FORVIA's culture. Accountability and empowerment are the 2 key drivers of our future performance. A highly efficient organizational setup and operating model form the base. Therefore, we are making some major changes to our organization. Looking at the current setup and exchanging with many of our leaders globally, I concluded that we suffered from 2 key problems. First, there are redundant and, at times, conflicting P&L responsibilities on the ExCom level between the global business groups and the regions. And secondly, when getting to the operational units, namely the plants and the divisions, there are too many interactions within the matrix. This undermines empowerment and autonomy. Going forward, we will have one clear and linear flow of the P&L, from plants to divisions to business groups and then to FORVIA. In terms of organization, we are becoming division centric. As a reminder, the division is the regional unit of a global business group. We are going to fully empower the divisions who are close to their respective markets and operations. This way, we will increase customer proximity, adaptability to the specific regional market needs and speed of decision-making. Divisions will be fully equipped with all the functions and resources to run their businesses and, therefore, truly own their P&L responsibility. Before I hand over to Olivier to lead through the financial results, let me recap by saying that at the end of H1, FORVIA is now heading in the right direction on performance, transformation and a culture of greater accountability. I would also like to take the opportunity to thank the ExCom and all the FORVIA teams around the globe for their great efforts to deliver on our 3 priorities in H1. Olivier, handing over to you.
Olivier Durand: Thank you, Martin, and good morning, everyone. I will present the financial results of FORVIA for the first semester '25. Let me start with revenues. In the first half, sales reached EUR 13.5 billion, up 1.1%. This growth was driven by strong double-digit performance in Electronics and solid momentum in Seating. Actually, the product sales increased by 2.9% versus last year, basically in line with global vehicle production, which grew by 3.1% in the first semester. This increase, however, was partly offset by tooling sales that came back to a more recurrent level after the exceptional high value that we recorded in H1 '24 as many programs were launched in North America in that period. On a reported basis, sales were down slightly by 0.4%. This is coming from currency effects. They turned negative in Q2, with the euro strengthening against all major currencies, the U.S. dollar, the Chinese yuan and, importantly for us, the Turkish lira as well, for a total impact of 1.5% negative on the revenues. Looking ahead, at current exchange rates, we expect currency effects to reduce our second half revenues by at least EUR 500 million. Let me look at our performance versus the market. Our organic growth of 1.1% represent an underperformance of 2 points compared to the global automotive production. However, if we adjust for the unfavorable geographical mix, which weighted close to 4 points in H1 given the difference in market growth between Europe and other regions, FORVIA actually outperformed the market by around 2 points. If I go in more details by regions, in Europe, sales grew despite a significant market decline, which translates into a strong performance in the region, driven by Seating, Electronics and Lighting. In North America, sales declined in line with the market volume. And adjusted for the reduction of the tooling sales returning to a more recurrent level, our product sales outperformed the market in North America, supported by Electronics and Clean Mobility. In China, sales grew 1.5% organically. Even though we have been underperforming in this market in H1 '25, let me highlight that we continue to grow our activity and presence with Chinese OEMs, with whom we grew 13% organically in the period. And in Asia outside China, we delivered double-digit growth and strong outperformance, supporting -- supported by the development of our activities with different Japanese OEMs. Now let me turn to the operating margin. It improved by 20 basis points year-on-year, reaching 5.4% of sales or EUR 722 million. First, let me highlight that tariffs had a marginal impact on those results, thanks to adjustment on our footprint and work by the North American team with our suppliers and our customers. The main driver of the margin improvement was the execution in our cost reduction programs, which allowed to reduce our fixed cost in the period by EUR 90 million, 9-0. We see the first tangible benefits of EU-FORWARD activities, with a 100-basis-point margin improvement in EMEA from 3.1% to 4.1% as well as the continuation of the synergies with FORVIA HELLA. On the downside, we faced negative currency effect, the translation of our activities in U.S. dollar and Chinese yuan and a high level of amortization, which peaked in the first half. The key takeaway of the operating margin is that we have been able to accelerate the structural reduction of our cost base. We delivered a performance richer in cash compared to last year, as shown by the strong increase in our EBITDA margin, which is actually up 100 basis points year-on-year. So how does this translate by business groups? Seating and Electronics were the main drivers of the margin progression, thanks to operating leverage on the additional activities. Interiors also contributed even though from a low base. We saw noticeable improvements in Europe, but operational challenges impacted North America. As we said in our Q1 call, a dedicated task force is on those topics. We achieved noticeable progress in the back half of the period, and H2 will show further positive developments there. Lighting margin decreased from 5.0% to 4.4%, penalized by lower volumes as well as some specific issues in North America. We do expect some improvements in H2, especially in North America. Clean Mobility maintained a very solid margin despite lower sales and a less favorable customer mix. When I exclude hydrogen storage activities, our exhaust system business stayed around double-digit margin. And finally, Lifecycle Solutions showed a drop in operating margin year-on-year. However, you may remember that profitability significantly deteriorate in H2 '24 on the back of low volume. This situation is improving, with actually a sequential improvement of 260 basis points versus H2 '24 driven by restructuring and pricing actions. Margin is, therefore, returning progressively towards the normal level of a double-digit profitability. Let's now look at the full income statement of FORVIA. FORVIA is posting a net loss of EUR 269 million in H1. This is mainly due to one specific one-off and the current high level of restructuring charges. The one-off cost is linked to SYMBIO, our joint ventures with Michelin and Stellantis, which is focused on hydrogen fuel cell technologies. As already mentioned by Martin, Stellantis, which represented 80% of SYMBIO's expected volumes, decided to end its hydrogen activities. This created significant operational and financial risk for SYMBIO. Consequently, we have booked a noncash charge of a depreciation of our financial assets in the joint venture for a total of EUR 136 million. On restructuring, the charges are fully in line with the ramp-up of the EU-FORWARD program. In the first half, we announced an additional 2,100 headcount reductions, bringing the total to 5,000 since the start of the program, and we are ahead of our initial schedule. These charges also include restructuring costs in North America, aimed at streamlining the organization in the context of the tariffs and, as a consequence, lower activity in the U.S. market. Finally, I would like to make the comparison with H1 '24. The difference between the 2 years are solely related to one-offs. We had last year a positive one-off coming from a capital gain of EUR 134 million related to the sale of the HELLA stake in BHTC to AUO. Now let me go to the net cash flow on Page 17. In the first half, net cash flow more than doubled compared to H1 '24, reaching EUR 418 million. This improvement was not only in quantity, but also in quality. It came from 2 sustainable drivers: the first one, the increase in EBITDA of EUR 127 million; the second one, the reduction in investments, CapEx and capitalized R&D. The reduction has been EUR 232 million in the period. More specifically, tangible CapEx were down 35%, reflecting strict cash discipline, the footprint reduction in Europe as well as shift in some programs. Capitalized R&D followed the same trend, mirroring the optimization in our R&D investments. Both reductions reflect our efforts to reduce upfront cost and benefits coming from EU-FORWARD restructuring. Importantly, this net cash flow was achieved with no net contribution from working capital and factoring. However, for the year, we expect still around EUR 200 million of positive working capital contribution, which will be mainly from inventory reductions. For the rest of the cash flow, let me highlight that the increase in tax cash-out is only due to the refund last year of the withholding tax of EUR 68 million, which was related to an extraordinary dividend received from FORVIA HELLA the year before. Net of this effect, tax cash-out will have been reduced by EUR 22 million year-on-year. Finally, below the net cash flow, when we deduct dividends to minorities and the impact of IFRS 16 on new lease, the net debt decreased actually by EUR 193 million to EUR 6.3 billion. Combined with the higher EBITDA, the net cash flow generation allows us to reduce our leverage ratio by 0.2x to 1.8x at the end of the semester. To conclude this financial review of H1 results, let me look at the debt maturity and profile. In the first half, we have been active on the debt market, issuing close to EUR 1.7 billion in new debt to extend our maturities. This allows us a further improvement of our financial debt profile. We have cleared most of the '25 and '26 maturities and start addressing the '27 ones. We have been able to spread our debt more evenly over the following years. We also continue to diversifying our funding sources, notably by issuing our first-ever bond on the U.S. bond market, which is, as you know, the largest in the world. On top of the EUR 193 million reduction in net debt, we also reduced the gross cash by EUR 128 million, which means that our gross debt was reduced by EUR 321 million. In this context, we confirm our ambition to lower our gross cash position by EUR 500 million for the full year from EUR 4.5 billion to EUR 4 billion through enhanced cash pooling and cash upstreaming. This will extend the reduction of our gross debt beyond the net cash flow generation. On this note, I hand over back to you, Martin. Thank you.
Martin Fischer: Olivier, thank you. So let's go into the outlook for the remainder of the year 2025. And looking forward, it is clear the automotive production is forecasted by S&P to be flat compared to H1, but facing a 2.2% decline compared to H2 of prior year. The geo mix, however, which was a clear headwind in H1, should stabilize for us in H2. Uncertainty and volatility in general remain high, which is why we will maintain the same focus as in the first half, prioritizing the following 4 actions. We continue our strict cost and cash discipline. We seize opportunities in all regions. That means we continue the implementation of EU-FORWARD in Europe. We will further stabilize underperforming operations in North America. And we're going to leverage our new program launches in China. Number three, we are going to further pursue our disposal process with full attention. And number four, we are going to implement the new organizational setup and push the Simplify project as introduced today. Let me tell you, 5 months into the role, I can say that we have nicely aligned on the goals and priorities within FORVIA's Executive Committee. And the H1 results show that we also deliver as a team. Therefore, I'm happy to confirm all elements of our 2025 guidance and the leverage target for 2026, as communicated in the beginning of the year. In summary, our 3 priorities of performance, transformation and a culture of accountability and empowerment offer a solid foundation for a new strategic plan. And I personally look forward to presenting this new plan to you during our Capital Markets Day on February 24 in 2026. With this, we are arriving at the end of the prepared remarks, and we are opening up for Q&A.
Operator: [Operator Instructions] Our first question comes from Thomas Besson of Kepler Cheuvreux.
Thomas Besson: It's Thomas of Kepler Cheuvreux. I have a couple of questions, please. I'd like to start with the impressive decline in CapEx. I think if I calculated correctly, 25% decline. You managed to beat the 23% decline at Valeo and 13% at OPmobility. Can you talk about the sustainability of that? I mean what are you targeting for the second half of the year? What do you need to spend in 2026? I mean you've slightly reduced the orders, but the magnitude of the decline in CapEx, it's quite impressive. Second question, Olivier, I think you insisted on the reduced gross cash, gross debt. Could you talk about the impact we should expect this to have on your net financial expenses? What should we project for 2025? And what do you think it should impact 2026?
Martin Fischer: All right. Thomas, good having you on the line. Let's start with your CapEx question. So indeed, we worked CapEx and R&D very carefully in the first half. And the good news is that there is true reductions in gross R&D so that when we capitalize, when we activate that, the rate comes down. And we have also run a very strict regime on our CapEx. And we discussed that in the last call, and we said there as many measures we can take from really designing lines in a more efficient way, from reusing equipment, in particular, here in Europe, where we still have sufficient capacity and also purchasing equipment in the right regions of the world. So that all helped bringing the values down. There is one timing effect, though, that I want to mention as well. So some of the programs got delayed, and that obviously helped to hold CapEx back in H1. So when we go into H2, I still expect us to keep the same good discipline, and I also expect us to make progress H2 2025 over H2 2024, but it might not be to the same effect, to the same level that you have seen in H1 over H1 2024. And Olivier, I would like to ask you to comment a bit better on the gross and net debt questions from Thomas.
Olivier Durand: Sure. On the gross cash and the gross debt management, we highlighted at the beginning of the year that we want to work on better utilization of the gross cash. We have started, and we have the plans to have this reduction of EUR 0.5 billion for the year. Now from a financial point of view, we expect, in fact, a slight reduction in H2 versus H1. I think it's fairly marginal. And we expect '25 and '26 probably to the same level because of the mix of financing costs between what we have today and the renewal. The reduction will happen with sizable disposal on top of the rest. But it's encouraging to see that we are able to reduce the gross debt in a significant fashion, and we will continue, and I would anticipate, in fact, a bit more in H2 on the reduction of gross debt.
Martin Fischer: And Thomas, I take it back also on the CapEx and capitalized R&D question, you were asking for an outlook on top. And we come out of ratios of about 8% to 9% in the past of FORVIA's. You now see approximately 5% in the first half. What we think is a good ratio going forward, and that's a midterm goal, is that we end up in the 7% range on that one.
Operator: The next question comes from Stephen Benhamou from BNP Paribas Exane.
Stephen Benhamou: I have 2 questions, please. The first one is regarding the new restructuring costs. So with the new restructuring plan, Simplify, can you please give us more color on the phasing regarding the expected savings and restructuring costs? Is it a front-end loaded plan? Or should we expect a more linear impact over the next 4 years? And my second question is regarding the disposals. So with the new midterm plan presented at the next CMD, should we expect any significant disposals by this time so that financial targets will be based on the new scope?
Martin Fischer: Yes. Thanks, Stephen. Let's start with the new restructuring cost that comes with Project Simplify. So Project Simplify in its nature, and you have probably captured that from the presentation, is a longer-term effort. So you heard me talk about the different levers that we have in significant improvement of organizational complexity. You heard me talk about process automation. So we plan for the project to span across 3 years. And therefore, the savings target of EUR 110 million will be fully in effect after the end of the full implementation by 2028. And then we have also given the outlook on EUR 150 million of restructuring costs. That's cost that we expect to incur majorly in the years '26 through '28 and expect it to be about equally spread. What is important to me is that we really get into the implementation of Project Simplify. And we are onboarding the whole organization and really pushing for rapid execution on that. So the target we have given ourselves is that we manage to approach 40% of the savings already in 2026. So I hope that shows how decisive we are putting this new program into action. And then your question on the disposals. First of all, let me tell you, we are still working full speed on these disposals. And the news that I can share at this point in time is that we have positive market feedback on these sizable disposals we push. So there is interest, both from financial and strategic investors. And also, you heard me report out this morning from these portfolio reviews, we see additional opportunity for disposals of businesses. In terms of timing, yes, we are fully engaged, and we stick to our commitment, and I reiterated that to bring the leverage ratio down to 1.5x for next year. And obviously, I understand how eager you are to understand what is the more precise and more concrete timing. But here I would really like to stay with a bit of openness. You remember, our negotiations will depend on being free negotiations, not being time pushed. But clear confirmation of 1.8x leverage ratio for this year and 1.5x for next year.
Operator: The next question comes from Michael Foundoukidis from ODDO.
Michael Foundoukidis: Michael from ODDO. So first, congrats on the results. Two questions. The first one, still on the disposals. I mean you mentioned some possible sizable disposals in the future following the portfolio review. Could you tell us if it could be up to 1 of the 6 businesses? Or should we look more at product lines? Second question is on the new cost saving plan. You mentioned some new SG&A initiatives. Do you have a quantitative ambition in percentage of sales for SG&A? And maybe a last one that I can sneak in. I mean on SYMBIO, I mean you flagged the noncash provision in H1, but any restructuring actions, cost or cash-out that we should expect in H2 or 2026 related to that?
Martin Fischer: Good. Let's start with the disposals, Michael. Good having you on the line as well. Well, we are talking about sizable disposals. And you can think of that at least by business groups, but we can also think of geographies. So I don't want to fuel any speculations anymore. So we want to really treat that in a very serious and responsible manner. And that's why I'm not giving too much and too many hints yet on the type of it. But remember, we said we want to make EUR 1 billion worth of disposal in that next step. So you can conclude from that, it's really sizable units that we are approaching. With regard to Simplify, I gave you numbers on SG&A and indirect cost savings. We would like to refer the question on what are all the financial metrics for SG&A, for CapEx intensity and so on to our Capital Markets Day in February because with the kind of portfolio shape-up that you will see coming from the disposals on the one hand side, and then from structuring the future core of FORVIA, this will impact those ratios obviously. So bear with us to have that information. In the meanwhile, we're really happy to update on the concrete numbers as we go here semester over semester. And last not least, on the SYMBIO situation. Right now, our focus is really taking our responsibility as 1 of the 3 shareholders of SYMBIO. So it is still Stellantis, Michelin and ourselves now to judge the situation, where 80% of our sales of our customer is gone. And we live up to the responsibilities that we have under the joint venture contract, and we'll now see what the future of SYMBIO is. To your question, what does that mean specifically in potential cash impact or financial implications, we will inform you on the way when we get closer to understand where we take SYMBIO to.
Operator: The next question comes from Christoph Laskawi from Deutsche Bank.
Christoph Laskawi: The first one would be also on the disposals and the process you are taking with that. So assuming you are showing the market more than one sizable business, if you were to get a reasonable deal for everything that you showed to the market, would you be willing to sell on everything? Or would you then reevaluate where you get the best value for money and stick with the other businesses? And then the second question just on China and the potential outperformance in the future, could you point to a point in time when the underperformance will turn again? Obviously, you have good order intake with the locals and you have been growing with the local OEMs. Should we expect H2 already to be better? And then the last one, just a housekeeping question. I know you commented on that before, but I missed it. The working capital assumed for the full year, is it still confirmed to be EUR 300 million?
Martin Fischer: All right. Christoph, highly relevant questions. I'm happy to go into them. So as far as the disposals are concerned, you are right. We have launched multiple routes here. And I'm quite clear that we can achieve good deals on that, we will be moving on those disposals. So there is not going to be choices on those we are out, assuming, as you also said, that there is decent financial terms. And why is that? First of all, we have chosen those assets consciously at the get-go. And in the meanwhile, we have more proceeded, as you heard me say, on our portfolio assessments, business group by business group. And through that exercise, we once more confirmed that we are on the right track with those disposals on the way. Then question number two, you talked about China outperformance. When is it going to finally happen? You saw us lagging behind in half 1, which had to do basically with a stronger mix change from the global to the Chinese OEMs. And even though we were growing 13% with the Chinese, that was not strong enough to offset the decline of the global OEMs. When we now look forward into half 2 in the year-to-year transition, we are slowing down in general with the market growth in China. And on the FORVIA side, now our launches go into effect. Those were the announced ones predominantly with Chery. So I would say we have all the instruments in the hand to get to outperformance in H2. Nevertheless, it's a highly volatile and dynamic market. We are dealing with a bit of overcapacity as we speak. We have certainly a price war going on in the market, and we will have to see how consumers react. So I want to be cautiously optimistic, but also temper the expectations depending on the dynamics that we see in the market. And Olivier, I'd pass the third question on to you.
Olivier Durand: Yes, you mentioned the objective for operating working capital. I think we are focused not only on generation of cash flow but the sustainability aspect, as you have seen in our H1 results. Even with this, we still have this opportunity on inventory management. We still have 40 days of inventories. And clearly, the opportunity is there, and we have identified what we call the just-needed inventory, and we are executing on this. So for the year, I would say we expect a contribution from operating working capital of around EUR 200 million, which is solely, therefore, in H2, given what we did in H1.
Operator: The next question comes from José Asumendi from JPMorgan.
Jose Asumendi: A couple of questions, please. Can you comment, please, on the plan you have to improve the profitability of the Interior division? What are the key drivers, specifically looking into the second half of the year and 2026? Can you help us a bit this, Olivier, on the second half versus the first half sequence, one of the pluses or the negatives as we think about that, maybe potential margin improvement in second half to the first half? And three, Martin, thank you for the comments and the introduction. Also, can you talk a little bit more about how you are positioning yourself to improve the outperformance of the business in China?
Martin Fischer: Good. Let me take the first one, José. Interior division, so we have seen an improvement. Olivier described that in profitability, but we have also seen that the operations performance in North America is not to our expectations yet. You remember that in the half 1 of 2024, the operations suffered from a significant number of launches and also supply problems. And then we stabilized that in H2 last year, but had a couple of new launches and additional setbacks also in H1. So I have, together with the BG leader being in the U.S. already twice this year, to look at the situation, and we are reinforcing the teams and our approach to fixing the situation. And let me give you a general comment and observation. When I look at our operations in North America, we have a real opportunity in the first place to become more American in America. So we are still too much of a French company. And from all my years of experience, it's really important that we better adjust locally to the culture and to effective leadership. That's what we are doing right now. We have installed a couple of new leaders in those plants that have caused issues in the past. And now we match that better leadership, better focus with the FORVIA Excellence System, which is a very powerful instrument when lived with discipline to bring operations up. So people are in place, have a clear plan with regards to FORVIA Excellence System, and we track very carefully on high frequency, the improvements we make in North America. And that's going to push us ahead already in H2 of this year. So Olivier, the second question going to you in H1 to H2 sequencing?
Olivier Durand: Yes. So the question is the evolution of the operating margin between H1 and H2. There are different moving parts. Let me say, first of all, I mentioned the impact of ForEx, which will be, in fact, applicable for the whole semester instead of the only 1 quarter in H1. This impact means a reduction of the absolute value of margin, but not so much about the percentage. In terms of overall revenue, we expect a bit of decline at constant currency, given the evolution of the market and the uncertainties in the U.S. market with the evolution of the tariffs. But on the positive side, we have the evolution of the operations in North America that Martin mentioned. We have the continuation of the cost savings as the first item, which is continuing the benefits of EU-FORWARD and other elements. So we expect this to allow to offset, in fact, the negatives in terms of volumes. And after, the magnitude will depend on the volume on the one side and also the speed of recovery in North America operations.
Martin Fischer: Yes. Thanks, Olivier. And then José, your third question concerning China outperformance, I assume you mean also in the longer term because I commented already what is in the store for H2 2025. So I would like to really comment on how do we keep it going, right, that good trend that FORVIA has been on. And there's a couple of key ingredients in my eyes. First of all, it's that utmost strong local team in China that is empowered in the good sense that I already described for the new organization. We are stronger in China than anywhere else in the world in terms of empowerment. So the team can cater to the needs of the customers and the market at a relevant speed, and we have a good focus on China cost all over. And there's another point that really keeps us in the game and makes us grow, and that's these innovations that I also briefly touched on. So we want to be first to our Chinese customers with new product. In particular, customer-facing product is so well wanted because that's how our customers, the OEM, can differentiate. And that's a good trend for FORVIA. We have started inventing product and technology in China because, first of all, there is the competencies. And then there is the speed to market, where, from an initial idea to an SOP in a vehicle, we have seen examples of 12 to 18 months. And that is particularly strong. We are going to seize these opportunities also globally. So later this year, we have decided that our ExCom is going to have a session in China directly. And the core of that session is going to be a technology demonstration by the Chinese team. So we want to spur innovation not only locally but also utilize that globally. So differentiation through technology is our way to keep the good growth in China. Okay. We cannot hear the questions. I saw Stephanie was getting in line.
Stephanie Vincent: I just had a few. Thank you very much for talking about your goals for gross debt reduction. You outlined those on the previous CMD, but just from a credit investors' perspective, could we get an update on your overall goals in the intermediate term for your gross debt balance as well as your ideal cash balance, either on an absolute level or in terms of trailing 12-month sales? And then my next question is just on the order book, which you did point out. You have seen a decline, but it would be helpful to get updates on profitability levels on that versus your current LTM operating margins.
Martin Fischer: Good, Stephanie. Thanks for the 2 questions. Olivier, why don't you go ahead on the cash balance?
Olivier Durand: Yes. So I think there were 3 questions: one on the leverage midterm, the second on the cash -- on the gross cash level midterm, and also the third one was on the quality of the order book, I think, in particular, the profitability. So on the leverage, you know that our objective is to be below 1.5x by the end of '26 from organic performance, complemented by sizable disposals. We consider that this will be already putting back the balance sheet in a better shape, but we are considering to go further on the midterm. We know that investment-grade eligibility is something like 1.2x. So this is one of the elements that we are looking at in the context of our strategic plan and in preparation of the Capital Market Day. Compared to -- considering cash, we started the year with EUR 4.5 billion. We aim to finish at EUR 4 billion at the end of this year. My objective is to get to EUR 3.5 billion midterm, preferably end of '26. And on the order book profitability, I think the order book profitability was of good quality. The margins are above the current margins we are getting and in line with the type of profitability we have seen on the order book recently. Let me also highlight that the upfront continue to go down, not only in absolute, but also in percentage, which is very important because this is the driver, in fact, of the recurrent cash flow performance. It defines the level of investment we need to do on a going-forward basis, so as important as the profitability.
Martin Fischer: All right. I think that covers both questions, Stephanie.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Martin Fischer for any closing remarks.
Olivier Durand: I think we have -- before we do that, if you don't mind, we have written -- we have received a written question. So I will read it. This is Michael Niedzielski -- and I hope I pronounced your name properly, from Roce Capital. Given the better-than-expected free cash flow in H1 and the fact that you still expect EUR 200 million positive cash flow contribution from working capital in H2, why not increasing the free cash flow full year guidance beyond its current -- its previous guidance level?
Martin Fischer: Olivier, maybe before you answer, let me tell you, yes, first of all, we keep pushing. And you have seen from the H1 results that both on the operating income side and the cash side, we hold the organization really tight and accountable for the results. So that is definitely going to continue into H2. And Olivier, maybe you can comment a little bit about the ins and outs that we expect.
Olivier Durand: So 2 things. Number one, the guidance is to be above the level of last year, EUR 655 million. So we confirm this one. And indeed, with the results of H1, it's a fairly encouraging start, but we have to continue in this direction. The moving part is clearly the volume level, which is expected to be lower in H2 as a combination of ForEx evolution as well as the actual production volume. So the second is CapEx will be down year-on-year in H2 as well, but probably not at the same magnitude as what you have seen in H1. And the last is that we will have sequentially more restructuring in H2. But the goal is to continue to have increased performance in net cash flow in value and in quality. We have received a second question on the -- second written question from Vanessa Jeffriess. On the topic of customer hesitation around orders, would you expect orders to ramp up in the second half now that there is more clarity on the tariff situation?
Martin Fischer: Yes. Vanessa, let me say, it is good that we get that clarity into the system. However, there is still tariffs throughout the world. We had the announcement last night on Europe, and this will continue to be a burden on our customers and on the industry. So yes, it might get a bit more clarity and certainty, which investment decisions can be based on. Overall, I would still expect a certain hesitance or certain delay in investments because all OEs, all suppliers will have to keep financial results in the focus.
Olivier Durand: We received, in the meantime, another written question from Samuel Joab from Princay Partners. Hello, can you please update on factoring program this year and next, please? So on the factoring, you know that we have this commitment to remain below EUR 1.3 billion since, in fact, the acquisition of HELLA. This is actually what happened in the first half. And I confirm that, in fact, we will be below this level in the future. So EUR 1.3 billion is the max that we allow ourselves on factoring. This is one funding source among others, but we monitor the cost and, therefore, the value with this cap.
Martin Fischer: Okay. There's no further questions on the chat, which brings me to a brief summary. First of all, I want to thank the teams and the leaders at FORVIA for having delivered on an H1. And that was very important to me personally taking over the lead in March that nothing would fall through the cracks in terms of operational performance. And then at the same time, our 3 strategic priorities, performance and transformation as well as cultural invigoration, are in full swing. So it's going down the way that we say, hey, we are going to achieve recurrent and very structural performance the way we lead the group forward right now. So stay tuned. And I want to thank you for your continuous guidance and for your interest in FORVIA. And I already look forward to our next call. Thank you very much.
Olivier Durand: Thank you.